Operator: Greetings and welcome to the Genesis Energy L.P. Third Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen only mode. A question-and-answer session will follow formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce Dwayne Morley, Vice President of IR. Thank you, Dwayne. You may begin.
Dwayne Morley: Good Morning. Welcome to the 2024 third quarter conference call for Genesis Energy. Genesis Energy has four business segments. The Offshore Pipeline Transportation segment is engaged in providing the critical infrastructure to move oil produced from the long lived world class reservoirs from the Deepwater Gulf of Mexico to onshore refining centers. The Soda and sulfur services segment includes Trona and Trona-based exploring, mining, processing, producing, marketing, and selling activities, as well as the processing of sour gas streams to remove sulfur at refining operations. The onshore facilities and transportation segment is engaged in the transportation handling, blending, storage, and supply of energy products, including crude oil and refined products. The marine transportation segment is engaged in the maritime transportation and primarily refined petroleum products. Genesis's operations are primarily located in Wyoming, the Gulf Coast states, and the Gulf of Mexico. During this call, management may be making forward-looking statements within the meanings of the Securities Act of 1933 and the Securities Exchange Act of 1934. The law provides safe harbor protection to encourage companies to provide forward-looking information. Genesis intends to avail itself of those safe harbor provisions and directs you to its most recently filed and future filings with the Securities and Exchange Commission. We also encourage you to visit our website at genesisenergy.com where a copy of the press release we issued today is located. The press release also presents a reconciliation of non-GAAP financial measures to the most comparable GAAP financial measures. At this time, I'd like to introduce Grant Sims, CEO of Genesis Energy LP. Mr. Sims will be joined by Kristen Jesulaitis, Chief Financial Officer and Chief Legal Officer, Ryan Sims, President and Chief Commercial Officer, and Louie Nicol, Chief Accounting Officer.
Grant Sims: Thanks, Dwayne. Good morning to everyone and thank you for listening to the call. As we mentioned in our earnings release this morning, we have always expected 2024 to be a transition year as we move closer and closer to the inflection point when we will complete our current major capital spending program, be a short time away from a notable step change in realized segment margin and most importantly be in position to generate cash from operations in excess of the cash costs of running and sustaining our businesses. Starting in the back half of 2025 and accelerating into 2026. I'm here today to reiterate my confidence in this central thesis. Having said that, we certainly did not reasonably expect 2024 to be as challenging as it has turned out to be. While our financial performance in the first three quarters of the year has been well below our original expectations, we believe a majority of what has impacted Genesis this year has been the result of onetime items and other factors outside of our control. Importantly, we expect most of these challenges will be remedied by year end, hopefully leading to a more constructive operating environment moving forward. We are in any event evaluating a number of cost cutting and efficiency opportunities to help offset these near term challenges. We believe the actions we are taking and will continue to take in the coming months and quarters not only reflect our full alignment with our stakeholders, but are also representative of our commitment to maximizing available cash flow in the years to come. We believe 2025 will deliver meaningful growth over 2024 in the financial performance of certain of our segments, driven by the midyear startup for our contracted offshore developments as well as getting a number of the technical operational issues at certain existing offshore fields behind us. A sequential improvement in our marine transportation segment resulting from fewer scheduled dry docks and steady to improving market fundamentals and steady to improving performance from our onshore facilities segment. As we sit here today, we do see certain challenges in our soda and sulfur services businesses continuing into 2025. While we expect to achieve better and more consistently efficient operations at Westvaco and Granger next year, we are seeing macroeconomic headwinds which likely will pressure soda ash prices at least in the early part of next year. In our sulfur services business we have continued to have challenges on the production side at our largest host refinery and are facing competitive pressures from Chinese flake in South America. We would expect to have a better idea on these items when we discuss our outlook for 2025 in more detail next January or February. However, even with these challenges, we continue to expect growth and adjusted EBITDA in 2025 over 2024. When combined with limited growth capital spending, we believe we will in fact turn the corner and become cash flow positive next year, giving us the flexibility to begin focusing on capital allocation in earnest. If we look back beyond 2025, the combination of increasing volumes across our offshore infrastructure setting, a marginal improvement from our marine transportation and onshore facilities segments and a return towards a more normalized sodas price environment which we believe is only a matter of when, not if, all will combine to drive increasing results. Importantly, over the next few years we have identified no growth capital projects and remain committed to not pursuing any meaningful growth projects in the near term. In essence, because we believe we have laid the foundation for meaningfully higher and sustainable adjusted EBITDA for the foreseeable future. We continue to believe the partnership has adequate financial flexibility and liquidity and we will be in a position to utilize our future excess cash flow to simplify and strengthen our capital structure by redeeming our high cost convertible preferred and paying down debt in absolute terms. These actions should in turn lower our cost of capital and ultimately reduce the long-term annual cash costs of running our businesses, affording us over time even more flexibility and levers we can pull to maximize unitholder value. In summary, absent unforeseen circumstances, we remain confident we have laid the foundation to be able to create long term value for everyone in the capital structure in the coming years. Now I'll touch briefly on our individual business segments. As mentioned in our earnings release, our offshore segment continued to be negatively affected by lingering operational and technical issues at a couple of our large fields where we touch the molecules multiple times via both oil and gas gathering as well as downstream transportation which as you can infer are higher margin volumes versus the alternative where we might just handle the volume once for downstream transportation. In almost 40 years of focusing on the Deepwater Gulf of Mexico and its world class hydrocarbon bearing reservoirs, I have never seen a string of technical operating issues across multiple operators and multiple fields all occur right on top of one another, whether it involved dropping a joint of casing onto flow lines and a control umbilical in 5,800ft of water, the failure of a sleeve not being able to be remotely activated to choke off water inflows in a multi zone completion, the separation failure of the production tubing string in a 17,000 foot well with the strain in a twin well needing to be preemptively addressed, or the failure of a completion screen allowing production tubing and flow lines to get sanded up. Needless to say, our producer customers have recently experienced a number of unfortunate, unexpected and rare items which in turn obviously has negatively affected our financial performance this year. While we had originally expected the operators to complete the necessary repairs during the third quarter, the various recent weather challenges in the Gulf of Mexico have caused delays in getting the appropriate equipment and service providers on site to complete the necessary repairs on the original timeline. That being said, we have seen a small portion of the effective production restored to date, but are now being told complete mitigation and repairs are not expected to be completed until the end of the year. As a result, these interruptions will also have a negative impact on our fourth quarter results. In our conversations with the effective producer operators, each have reiterated they expect no long-term negative impacts to the underlying reservoirs and expect to see these volumes return by the end of the year or certainly by early next year. We will ultimately benefit from these volumes moving through our offshore infrastructure. It will just be shifting the recognition of the economic benefit to us a little to the right. It doesn't go away. Given some of these recent challenges, I took the opportunity over the last four or five weeks to personally go meet with seniors executives and most of our key producer shipper customers in the Gulf of Mexico. I can relay that those with the mechanical issues are working diligently to remedy the lost volumes as quickly as possible. But more importantly, all of them remain very excited and confident about the expectations for their newly sanctioned projects, the potential for additional future developments around their existing infrastructure, whether infilled or subsea opportunity, as well as exploratory opportunities they have already identified under their existing valid leases in the Gulf of Mexico. Our offshore expansion project remains on schedule and we continue to expect to complete most of the construction work by the end of the year. We expect to finalize the connection of the new sink pipeline to the Shenandoah floating production system once it arrives at its final location in the Gulf of Mexico with such work expected to be completed in the first quarter 2025. Both the Shenandoah and Salamanca new developments and their combined almost 200,000 barrels of oil per day of incremental production handling capacity remain on schedule to be online and begin in the second quarter of 2025. Similarly to other recent new developments, we continue to expect each of these to ramp up very quickly and reach initial pre-production within three to six months of their respective dates of first production, if not sooner. In both cases, the operators anticipate producing at rates materially higher than our taker pay levels or perhaps even higher than their original internal expectations when they sanction the project. These two new floating production facilities are also expected to serve as host platforms for additional future subsea developments or tieback opportunities which could sustain or increase these cash flows to us for years and years into the future. In addition to the Monument Field, which is a subsea tie back to Shenandoah that we announced last quarter, we remain in active discussions with other producers to utilize the incremental prebuilt capacity on the sink lateral and or on the CHOPS pipeline. Importantly, these ongoing discussions around the connection of additional infield subsea or secondary recovery development opportunities would not require any incremental capital on our part and could turn to production as early as next year and certainly over the next few years. I also wanted to take a moment to comment on the recent judicial events surrounding the 2020 Biological Opinion or BiOp, issued by the National Marine Fisheries Service. In mid-August, a Maryland District judge found the existing 2020 BIOP did not meet certain requirements stemming from the Endangered Species act and thus issued an order to vacate such BiOp as of December 20, 2024. This ruling could have theoretically invalidated certain permits and put parties at risk of liability for activities that could harm protected species in the Gulf of Mexico. Fast Forward, as we expected, the upstream community was the champion with dealing with this matter in court, and on October 21, 2024, the same district judge in Maryland extended the date of the CAGR of the 2020 BiOp to May 21st, 2025. Furthermore, the National Marine Fisheries Service has publicly committed to issue a new and fully compliant BiOp before this date. While we do not anticipate any future risks surrounding this matter, we will be constantly monitoring the situation. In the end, we remain confident that we and our producer customers will continue to be fully compliant with the new BiOp once issued and will continue to be stewards of the environment and the waters in which we operate in together. Turning now to our Soda and Sulfur Services segment, our soda ash business significantly underperformed our expectations during the quarter as we continue to experience production challenges and higher maintenance spending at our Westvaco production facility. As a result of our operating performance over the first nine months of the year, our Alkali leadership team is keenly focused on identifying the root causes of the production challenges, implementing new initiatives and proactive measures to mitigate such in the future and reduce operating costs and maintenance spending to further streamline and lower the cost of our soda ash operations to allow us to maintain our position as America's largest and lowest cost producer while never compromising our commitment to safe and responsible operations. In the near term, we must focus on cost. Just since last quarter, the export market for soda ash has, for lack of a better description, gotten pretty sloppy. Chinese domestic inventory levels and the availability of exports out of China have both recently increased. In fact, exports from China in September were the highest since July of 2023. The increased supply of natural soda from the Baron development in Mongolia appears to have been consumed totally within China, at least until recently. There are recent indications that Chinese domestic men must be softening, as evidenced by such increase in inventory and availability of exports. We are however, encouraged by the recent changes in monetary policy and rumored additional fiscal policies designed to stimulate the Chinese economy, but these will take time to become effective. In the meantime, the apparent increased availability of soda ash out of China is leading our export customers to expect lower prices. In fact, we expect to see lower export prices in the fourth quarter, even though sequentially third quarter prices were up over the second quarter and second quarter prices were up over the first quarter of this year. We would expect that this current softness will last until 2025, at least early in the year until the global market comes closer into balance. In that regard, I am reminded of Warren Buffett saying that in a commodity business it is hard to look a lot smarter than your dumbest competitor at some of the prices we believe are being offered. We know the sellers at best are seeing marginal revenue cover their marginal production cost with no contribution to their fixed cost. As we all learned in principles of economics, this behavior can occur in the short run, but it is not sustainable in the long run. As a result, we would expect certain producer suppliers to curtail production which will obviously help tighten the market and ultimately lead to higher prices. As I said earlier, we are America's lowest cost producer and our brine based facilities, ELDM at Westvaco and our optimized Granger facility are among the lowest cost soda ash production facilities in the world. Our higher cost competitors both domestically and abroad will have to carry the load of the supply response needed near term to bring the soda ash market more into balance. Regardless of the ultimate timing of such production rationalizations, which would happen sooner rather than later if high cost synthetic producers in Europe and China were to begin to act more rationally. We remain committed to the soda ash business. We intend to work diligently to further optimize our cost structure and make any necessary adjustments to maintain and strengthen our competitive advantage. I am confident that the steps we are evaluating regarding our production costs will not only help us in the short term, but will enhance our ability to benefit sooner from the inevitable balancing of the market and the higher and sustainable commodity prices that will undoubtedly follow. Our marine transportation segment continues to operate in line with our expectations as the broader market conditions remain very favorable. We continue to operate with utilization rates at or near 100% of practical available capacity for all classes of our vessels and expect day rates to remain strong, if not slightly increase sequentially as our existing term and spot charters renew over the remainder of the year and throughout 2025. Importantly, we are also nearing the completion of our heaviest regulatory dry docking year on record for our offshore fleet. By year end, we expect to have completed such required work for six of our nine Blue Water vessels, with two of our smaller offshore vessels scheduled to go in for work in the first quarter of 2025. Upon completion of these dry dockings early next year, and absent any unforeseen events, we expect to have a clear Runway to drive sequential improvement by simply operating our vessels for more available days in 2025 relative to 2024 and almost certainly at higher realized day rates. As a result, we could reasonably see a scenario where next year's marine transportation segment could be up by more than 10% year-over-year, if not higher. These market fundamentals look like they'll be around for a number of years in the future with net retirements of older equipment not ours by the way, given the relatively young age of our assets and the need to see day rates increase another 30% or so and be expected to sustain their well into the future before anyone is likely to undertake a significant new build program. In summary, with the unforeseen challenges to our adjusted EBITDA in 2024, we expect the full year to come in below the end of our previous guidance range. Additionally, our bank calculated total debt to EBITDA ratio will increase to greater than five times in future periods, at least for a while as we deal with the arithmetic challenge of such lower EBITDA in the denominator negatively affecting such calculated ratio. However, that will take care of itself over time as we realize growing adjusted EBITDA and begin to pay down debt in future periods. As I have mentioned in the past and will reiterate again, the value proposition to Genesis remains unchanged and intact, at least from our perspective. We remain keenly focused on getting to the back half of 2025 and the inflection point where we stop spending growth capital and start harvesting significant and growing cash flows in excess of the cash cost of running and sustaining our businesses. This excess cash flow will allow us to simplify our capital structure, lower our overall cost of capital, maintain prudent leverage and have the ability to opportunistically drive long-term value for our unitholders for many years ahead. Finally, I would like to say to the management team that the management team and the Board of Directors remain steadfast in our commitment to building long term value for all our stakeholders. Regardless of where you are in the capital structure, we believe the decisions we are making reflect this commitment and our confidence in Genesis moving forward. I'd once again like to recognize our entire workforce for their individual efforts and unwavering commitment to safe and responsible operations. I am extremely proud to be associated with each and every one of you. With that, I'll turn it back to the moderator for questions.
Operator: Thank you. [Operator Instructions] Our first question is from Michael Blum with Wells Fargo. Please proceed with your question.
Michael Blum: Thanks. Good morning, everyone. I wanted to ask about 2025. Appreciate that you're looking for an inflection point in the back half of the year, but in the first half of the year it seems like things could be a little bit softer. You'll have elevated leverage. So should we assume that your point where you're going to begin to meaningfully raise the distribution could be delayed a bit here? Would you expect that to happen in 2025 or is it now more likely a 2026 event?
Grant Sims: Michael, good question. I think it's a little bit premature to answer. Specifically, I would say that we are at a point in this fall. We are putting together our 2025 plan and the fundamental building blocks of that are really getting the updated producer profiles or production profiles from our producer customers in the Gulf of Mexico, which obviously drive things. And as I mentioned in the prepared remarks, certainly the excitement around the new facilities and the over performance relative to previous expectations is going to be part of that. But that's obviously that's a big driver of 2025. As we sit here today, only about 50% of our anticipated sodas. Sales of sodas in 2025 are at either a known price or a price that is subject to a known cap or collar. So we have a little bit of, we have some time and as you know, November and December is when we will in earnest set the prices for, with our customers for the early part of 2025. Obviously we believe that prices should increase as we go through 2025. And so it's our intent that we'll go as short term as possible. But again that's something that we're currently working on and as I made reference also to, we are keenly focused on ringing cost and operating expense again without safe compromising, safe operations and other things. And so that's an ongoing process. So a very long winded answer to I can't sit here today and give you our view of what 2025 is as we referenced it. We'll let you know that on the fourth quarter call. And how all that plays into the capital allocation program I think is going to be driven by what the result of that is as we go through this budgeting process and then have further discussions with the board in January.
Michael Blum: Got it. Thanks, Grant. That's all I had.
Grant Sims: Thank you.
Operator: Thank you. Our next question is from Wade Suki with Capital One. Please proceed with your question.
Wade Suki: Good morning everyone. Thank you all for taking my question. Just to expand maybe a little bit on, I think it was Michael's question before looking out to next year and beyond. I want to say it was last quarter you all sort of laid out a couple of maybe high level view on EBITDA 25 and 26. Just thinking about it really, just taking a step back. Any delta between your prior view and today, would it be fair to say that's mostly a function of what your change in view is on soda ash and the environment there with maybe, I don't know, maybe a 5% impact from offshore next year delays. Mostly it's dependent on the soda ash environment. Is that a fair way to think about it?
Grant Sims: I would say that yes. The majority of the delta is going to be driven by, as I said in the prepared remarks that just literally within the last 90 days we've seen, I think I described it as being rather sloppy. Again, this is, we've been here before. This is soda ash market has been around since the 1860s and the natural producers have been, including ourselves who started the natural production in southwest Wyoming since around the early 1950s. We've been through this before and high cost producers are going to have to shut in because they can't cover their costs and ultimately prices will rise and those of us that have a cost advantage will benefit from that. But markets take time to work. But yes, I think that. And then also the interplay with the amount of cost that we are targeting or thinking about as we review our operations to maintain that cost competitive advantage, how much we can get out in light of, a slightly choppier or slightly more negative outlook, at least for the first part of 2025. So again, Wade, I can't, I don't want to get out over my skis as we're rolling all of this up with the data points that I referred to in my response to Michael was but, I think that, we are to get back to the central theme and thesis is we're going to hit the inflection point. It's a matter of when, not if. And depending upon the performance of the soda ash business relative to the recovery, overcoming the technical and operational issues in the gulf that we've been explicit about and then the performance and over performance out of the new growth coming from the Gulf of Mexico. We need to kind of roll all of that up and be able to better answer the question in January.
Wade Suki: Understood. I appreciate that. Not the back end corner here, anything. But as I think about, if you think there's a normalization in soda ash in let's say the 26th timeframe, really the out [Indiscernible] shouldn't be all that affected. From your prior view, is that a fair statement or.
Grant Sims: I think that's an absolute fair statement. I mean if we return to normalcy and keep our costs in line on the soda ash business in particular. Yes, we anticipate that everything should be annualized in the back half of 2025 and certainly into 2026 and beyond. Everything is 100% intact. So again, as I described, 2024 has turned out to be even more challenging than what we could have reasonably anticipated. And but especially in regards to the calculated leverage ratio that sticks with this on an LTM basis. And so having the denominator kind of low because of one time or non-recurring events is going to stick with us for a while. So the headline number is, or at least on the total funded debt adjusted EBITDA ratio is, that's going to stick with us for a while. But I agree with your hypothesis or your statement that this has no effect on late 2025 and 2026 and beyond assuming a normalization of financial results out of the soda ash business.
Wade Suki: Thanks for that. Appreciate it. Just switch gears to offshore. You gave us some kind of good color on some of the operational technical issues impacting your producer customers. I think I heard there were a couple of different producers. There were three producers. Would you mind going through some of the technical issues one more time? Just better understand what's happening out there. And I totally appreciate it's all hitting at once, but just kind of curious.
Grant Sims: Yes. And we got to be very careful because obviously, we're under NDAs with them. But I tried to give you a flavor for a couple of the types of instances which occurred. I mean in the process of drilling a brand-new development well, the drilling rig lost a joint of casing, which floated down 5,800 feet of water and landed on top of some existing flow lines and control umbilicals for some producing wells. So obviously, one has to go through the process of, a, removing that; and then b, going in and testing and making sure that no damage has occurred. So this is not like you back a truck up and start pulling tubing and stuff. Another instance was in a multi-zone completion well that had a pre-installed mechanical sleeve to be able to shut off the perfs in one of the zones. That zone started producing water. The sleeve couldn't be remotely moved to shut off that water. And as a result, they had to go in and do a workover. And when you're doing workovers in 7,000 feet of water on 27,000-foot wells, it's not the easiest and quickest overnight solution to do things. If you go back and once they published the prepared remarks, I gave a couple of other examples. So again, it's things that are totally beyond our control and quite frankly, they're pretty rare and unexpected from the producing community. And as I said, I've never seen a quarter or two where you have this many kind of fall on top of each other. So let's get it behind us and get on the stuff. As you can tell, if you look at the offshore performance in the first quarter, $97 million versus $72 million in the third quarter, I can unequivocally sit here and pound the table that that's not a decline in the production capability associated with the attached and known facilities. That is driven by something completely outside of our control and the operators' control.
Wade Suki: Appreciate it. Thanks so much.
Grant Sims: Thank you.
Operator: [Operator Instructions] Our next question is from Elvira Scotto with RBC Capital Markets. Please proceed with your question.
Elvira Scotto: Hey good morning everyone. Thanks for taking my question. I guess I just wanted to follow up there on Wade's question. These onetime issues that we've seen, and granted they're rare. I mean what gives you the confidence that as we go into 2025, we're not going to see issues? Or are there protections in place? And I guess just from a broader perspective, when can we expect some, I guess, less volatility in the Offshore segment? Would that be like starting in the second quarter of 2025? Any help there would be appreciated.
Grant Sims: Yes. Again, I would describe this as on the verge of being a calamitous coincident of things that kind of individually can happen from time to time, but all of them happening at once, especially at some of the, what I would call, high-valued fields from our perspective, is very unusual. Clearly, the producers and the operators have a greater economic incentive to not have these occur and, if they do occur, to fix them as soon as they can safely and responsibly do it. I mean they get $70 a barrel, we get a couple of dollars a barrel. So it's a bit unfortunate. But again, I kind of tie back a little bit to the comparison I just made to the first quarter, offshore margin being in the zip code of $97 million versus $72 million. That is not something that anybody anticipated. And even the second quarter was, I think, around $86 million or something, which was the beginning of the realization of some of these mechanical issues. So again, Elvira, all I can say is that in my 40 years of working in the Deepwater Gulf of Mexico, from an infrastructure point of view, I've never seen this much occur. I don't think it's indicative of things. I think everybody is prudent and doing what they can to do safe and responsible and economic operations. So hopefully, we get it behind us and we get to a more normalized rate. So if that kind of equates to $90 million to $95 million a quarter stabilized before you start seeing the ramp from Shenandoah, Salamanca, that's kind of how we view the world.
Elvira Scotto: Okay. Great. Now, that's helpful. And then just switching gears here, can you talk a little bit about these issues at Westvaco that affected production? And then I don't know if you're able to, at this point, provide any more detail into kind of some of these remediation efforts and cost-cutting and streamlining efforts and if you're able to quantify like your goals there.
Grant Sims: Yes. I mean it's a number of things at Westvaco, including things as simple as conveyor belts moving the ore from the subsurface mining operations to the ore pile upstairs, having kind of an unusual several months from a performance behavior point of view. And again, that's going back in perspective of 70-plus years of continuous mining to discovery of some structural issues in a mine shaft that, from a safety point of view, has to be immediately fixed because we're not going to take any risk on those types of important items. So again, we have our team focused. This is very unusual. I mean if you look kind of on a historical basis, we have been consistently improving our production statistics, again, not at the expense of maintaining safe operations, but again, 2024 has been kind of a rough year from an operational point of view. So again, we're stepping back. We've instructed and we have everybody sign off from the management team to step back, evaluate processes, what changes we need to make in order to address and reduce the number of incidences, which affect our production capabilities and, at the same time then, take a hard look at our overall fixed cost across the board and make a determination. If we tighten our belt, can we hit our production numbers and maintain safe and responsible operations and do it cheaper in future periods to, a, deal with the near-term realities of softness in prices. But as I also said, by doing so, then we will benefit even more as soon as we see the tightening and the turnaround in prices. So those are things that we can control at this point. And that's what we're focused on, dealing with what we can control and being in a position to benefit when the market allows us to do even better.
Elvira Scotto: Great. That makes a lot of sense. And do you think this is something that, as you're going through this process, you can at least identify what changes you need to make? Is it something that you think you can do in the near term? Or is this going to be a year or multiyear type process?
Grant Sims: We are focused on sprinting between now and the end of the year and having processes in place and steps identified and steps implemented to hit the ground running in 2025.
Elvira Scotto: Okay, thank you very much.
Grant Sims: Thank you.
Operator: Thank you. There are no further questions at this time. I'd like to hand the floor back over to Grant Sims for any closing comments.
Grant Sims: Well, thanks again, everyone, for dialing in and listening, and we appreciate your interest in the Genesis story, and we'll talk soon. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.